Operator: Good afternoon, and welcome to the Paycom Software Second Quarter 2018 Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Craig Boelte, Chief Financial Officer. Please go ahead, sir.
Craig Boelte: Thank you and good afternoon. Before we get started, I would like to note that certain statements made during this conference call that are not historical facts, including those regarding our future plans, objectives and expected performance, are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements represent our outlook only as of the date of this conference call. While we believe any forward-looking statements we have made or make in this presentation are reasonable, actual results could differ materially because the statements are based on our current expectations and are subject to risks and uncertainties. These risks and uncertainties are discussed in our filings with the Securities and Exchange Commission, including our Annual Report on Form 10-K for the year ended December 31, 2017. You should refer to and consider these factors when relying on such forward-looking information. Any forward-looking statements speaks only as of the date on which it is made and we do not undertake and expressly disclaim any obligation to update or alter our forward-looking statements, whether as a result of new information, future events or otherwise, except as required by applicable law. Also during the course of today’s call, we will refer to certain non-GAAP financial measures. A reconciliation schedule showing GAAP versus non-GAAP results is included in the press release that we issued after the close of market today which is available on our website at investors.paycom.com. I will now turn the call over to Chad Richison, Paycom’s President and Chief Executive Officer.
Chad Richison: Thanks, Craig. And thanks to everyone joining our call today to review our second quarter 2018 results. As with prior calls, I’ll start with some comments on our achievements in the second quarter, then speak to developments at the Company as well as in the payroll and human capital management or HCM software market. Craig will then provide an update on our financials and guidance. Following that, we will open up the line for questions. Paycom’s powerful and intuitive solution continues to gain market share, powering our strong second quarter results with revenue of $128.8 million, representing growth of 31% over the comparable prior year period. Our profitable model delivered adjusted EBITDA of $53.5 million, representing a 41.5% adjusted EBITDA margin. Additionally, during the second quarter, we were pleased to return value to our stockholders by repurchasing over 400,000 shares. At Paycom, our goal is to help our clients achieve success by helping them hire, engage and better manage their workforces, using the power of our technology. In our conversations with prospective clients, we see that more and more companies are becoming excited about the potential efficiencies and improvements they can attain by deploying our advanced HCM software solution. Our solution offers a broad set of capabilities that spans the entire employee lifecycle, all of which have been built organically by our internal development team. We believe our offering remains the best option in the marketplace. We also believe that we are still at the beginning of an HCM transformation through which employers experience greater return on their investment by leveraging HCM technology for their employees. Today, HCM systems are still mostly used by system operators. Employee usage remains less than optimal. At Paycom, our vision is to see substantially greater usage of HCM software among our clients’ employees. This vision is supported by our years of experience converting clients from our competitors and is further supported by the broad trend of people becoming accustomed to working with self service solutions and mobile software on a daily basis. Significant employee usage of HCM systems has the potential to both increase employee satisfaction and also provide useful, reliable data to employers. However, with people spending more and more time using mobile devices, this goal is only realistic if you have an application that has the capacity to handle a wide range of innovative HCM needs and is easy to log in to and use. Paycom’s mobile app is meets those requirements, providing all the functionality offered by our employee self-service desktop application. We believe the work we’ve put into developing and refining our mobile app and also our overall employee usage strategy, positions us well for continued growth. On our last quarter, I highlighted our redesigned employee self-service desktop and mobile apps and how they allow our clients, employees to access every part of our solution from any device at any time. I’m pleased to report that our mobile app is gaining in popularity and usage with client employees. And we are optimistic that our success in driving this usage will grow. Additionally, we continue to improve our overall offering in the second quarter, introducing several enhancements as part of our monthly updates that we roll out to our entire client base. We will continue to introduce new functionality to maintain our competitive position. We are excited about our prospects for continuing to capture market share. In an effort to generate momentum as we head into 2019, we will be investing in certain marketing initiatives in the second half of this year including a targeted national campaign that we expect to start late in Q3. Additionally, we were excited to see the Oklahoma Sports Hall of Fame release the 2018 Paycom Jim Thorpe Award Preseason Watch List. This list includes 35 of the nation’s best defensive backs, representing 11 conferences. The Paycom Jim Thorpe Award which we are honored to sponsor, annually recognizes the best defensive backs in college football and is awarded in December. Turning to our internal growth. We also expanded our sales reach in the second quarter, opening sales offices in Columbus and San Diego. We are excited to expand our sales footprint to offer our best-in-class HCM solution to businesses in these markets. These additions bring our total sales team count to 49. On our main campus here in Oklahoma City, we completed construction of our fourth building and started to move employees into it. This 250,000 square-foot building is as large as our first three buildings combined and offers many state-of-the-art features including studio space, where we can create our own content and also a data center that will complement our existing data centers in Oklahoma City and Dallas. Regarding our Texas operations, we recently announced our plans to relocate our Texas operation center to a new facility in Grapevine, Texas. We plan on commencing construction of this new facility in 2019 and are excited about expanding our presence in Texas. Finally, I would like to provide an update regarding our executive management. We have promoted Kathy Oden-Hall, our Chief Marketing Officer to our Executive Officer team. Kathy has been instrumental to our success at Paycom, leading our marketing and PR efforts for several years and recently taking on increased responsibilities. I’d like to extend to extend thanks to Kathy for her service. We look forward to her continued contributions as we grow. To sum up, our momentum continued across all areas of our business in the second quarter, and we are optimistic for our prospects for the remainder of 2018. With that, I’ll turn the call over to Craig for a review of our financials and guidance. Craig?
Craig Boelte: Before I review our second quarter results for 2018 and also our outlook for the third quarter and full-year 2018, I would like to remind everyone that my comments related to certain financial measures will be on a non-GAAP basis. Also, we adopted the new accounting standard, ASC 606 on January 1, 2018, utilizing the full retrospective method of transition, which required us to recast the prior period presented. Our comparisons discussed in today’s call reflect those adjustments. We use adjusted EBITDA and non-GAAP net income as supplemental measures to review and assess our performance and for planning purposes. Adjusted EBITDA and non-GAAP net income are non-GAAP financial measures that exclude non-cash stock-based compensation expense and certain transaction and other expenses that are not core to our operations. Non-GAAP net income also reflects adjustments for the effective income taxes. Reconciliations of the GAAP to non-GAAP measures discussed today are included in the earnings press release issued earlier this afternoon. We are pleased with our second quarter results with total revenues of $128.8 million, representing growth of 31% over the comparable prior year period. Our revenue growth continues to be primarily driven by new business wins, and we are pleased with our continued excellent performance. Within total revenues, recurring revenue was $126.6 million for the second quarter of 2018, representing 98.3% of total revenues for the quarter and growing 31% from the comparable prior year period. Total adjusted gross profit for the second quarter was $108.3 million, representing an adjusted gross margin of 84.1%. For the full-year 2018, we anticipate that our adjusted gross margin will be within a range of 83% to 84%. Total adjusted administrative expenses were $61.7 million for the quarter as compared to $49.9 million in the second quarter of 2017. Adjusted sales and marketing expense for the second quarter of 2018 was $30.2 million. Adjusted R&D expense was $10.5 million in the second quarter of 2018 or 8.1% of total revenues. Total adjusted R&D cost including the capitalized portion was $14.6 million in the second quarter of 2018 compared to $10 million in the prior year period. Adjusted EBITDA was $53.5 million or 41.5% of total revenues in the second quarter of 2018 compared to $36.6 million or 37.2% of total revenues in the second quarter of 2017. Our GAAP net income for the second quarter was $35.7 million or $0.61 per diluted share, based on approximately 59 million shares versus $20 million or $0.34 per diluted share based on approximately 59 million shares in the prior year period. Our effective income tax rate for the second quarter of 2018 was 17.9%. Non-GAAP net income for the second quarter of 2018 was $34.8 million or $0.59 per diluted share, based on approximately 59 million shares versus $20.5 million or $0.35 per diluted share in the prior year period. We anticipate our full-year effective income tax rate to be 22% to 23% on a GAAP basis. On an non-GAAP basis, we anticipate our full-year effective income tax rate to be 25% to 26%. In the second quarter, we returned value to our stockholders by repurchasing over 400,000 shares, including 350,000 shares purchased in the open market. Since we initiated the repurchase program, we have repurchased over 3.3 million shares, including over 2 million shares in the open market. We anticipate fully diluted shares outstanding will be approximately 59 million shares in the third quarter of 2018. Turning to the balance sheet. We ended the quarter with cash and cash equivalents of $54.6 million and total debt of $35.3 million. As a reminder, this debt represents a financing of construction at our corporate headquarters. As Chad mentioned, construction of our fourth building is complete. In addition, we recently announced our planned expansion in Grapevine, Texas and expect to close on the land purchase in the second half of the year. Cash from operations was $42.7 million for the second quarter, reflecting our strong revenue performance and the profitability of our business model. The average daily balance of funds held on behalf of clients was approximately $960 million in the second quarter of 2018. Now, let me turn to guidance for the third quarter and full-year for fiscal 2018. For the third quarter of 2018, we expect total revenues in the range of $129 million to $131 million, representing a growth rate over the comparable prior year period of approximately 28% at the midpoint of the range. We expect adjusted EBITDA for the third quarter in the range of $45.5 million to $47.5 million, representing an adjusted EBITDA margin of approximately 36% at the midpoint of the range. For fiscal 2018, we are increasing our revenue guidance to a range of $554 million to $556 million or approximately 28% year-over-year growth at the midpoint of the range. We are increasing our full-year 2018 adjusted EBITDA guidance to a range of $231 million to $233 million, representing an adjusted EBITDA margin of approximately 42% at the midpoint of the range. With that, we will open the line for questions. Operator?
Operator: [Operator Instructions] And our first question comes from Raimo Lenschow from Barclays. Please go ahead.
Raimo Lenschow: Hey. Thanks for the question. And congrats on a quarter. Chad, can you talk -- you’ve started to talk a lot more about usage as a kind of way to kind of get deeper into the client base and there is a bigger focus on employees as well. Can you talk a little bit about what are you seeing in terms of our guys that you’re historically have been selling to, like in the 1,000 to 2,000 employees, are those guys ready to -- those are the commentaries that we historically have seen more in the kind of the enterprise base?
Chad Richison: We’ve been focused on usage because -- especially at the employee level because we think that that’s one of the most significant ways that our clients can drive ROI for themselves as when the employees have a direct relationship with the database, and we see that happening everywhere else in society as the digital transformation takes shape. I believe, it’s been a little bit a slower to do so in our industry just because everything is so important when you are dealing with the payroll and time and attendance and benefits and what have you. And so, I think it’s been a little slower, but we’ve been seeing that happen. We’ve been the ones pushing for that. And I definitely see that that’s the right strategy in the future.
Raimo Lenschow: Okay. And then, if you look at your profitability, so far this year, you’ve been actually ahead of last year, but your guidance assumes quite a bit of a ramp-up in the second half. Can you talk -- I mean, you gave us like what you want to do, can you talk a little bit about timing and how much you want to spend -- not necessarily if you can, but like how much you want to spend there, because it’s quite a step-up in the second half?
Craig Boelte: Sure. I mean, Chad called out that in the second half we’re looking at really ramping up some of our sales and marketing initiatives. And so, we would see that in the second half as well as some on the R&D, we’ve always seen a step-up as well from quarter to prior year quarter in the R&D area.
Raimo Lenschow: And then, last question for me is like the CapEx, like what’s this -- you do purchase in the second half in Texas which will be great. Like, what’s the level you think for full-year. What are you comfortable with, Craig?
Craig Boelte: Yes. On the CapEx, Raimo, you saw a step down from first quarter to second quarter as we were wrapping up this building. And we called out the purchase of the Grapevine land that will occur either third or fourth quarter. But, we would expect the full year 2018 -- and Raimo, remember, we don’t give guidance on CapEx but we are kind of midway through. We would expect it to be on an absolute dollar basis, similar to 2017-2018, similar.
Operator: And the next question comes from John DiFucci from Jefferies. Please go ahead.
John DiFucci: So, Chad, I realize that typically you get very little contribution from new sales offices. But, this quarter was such a good one. I mean, you accelerated recurring revenue growth above that over the last three quarters. So, it sort of begs the question, if you got any -- if you got a windfall or any meaningful contribution from the three new offices you opened this quarter? And if the answer is no, which usually is, when people ask that question. What is it, what do you attribute the sort of acceleration this quarter to?
Chad Richison: Yes. With any quarter, our record is as far as the revenue comes in, you’re always going to have the overwhelming majority of our revenue, new business revenue that comes in, this one could be from new logo adds. Your question about new offices, our new offices continue to do well as expected, but they don’t react differently than what our past offices have reacted as far as contribution. I think I’d mentioned this before. A year before last, we opened up six offices, and I had two sales reps outsell that six offices we opened for that year. And so, new offices will make contributions, but they are really started making their contributions past month 24 of original open day.
John DiFucci: And I guess, if you can just remind us, I know -- remind us about the impact of the sales, the new business, once you sign a deal, it usually takes 60 days before it gets up and running on average, and I know that varies. But you don’t start recognizing the revenue until that happens. Is that correct? So, the strength this quarter really I guess would span last quarter too. Am I making the right assumption there?
Craig Boelte: You are correct in that. We do not account for revenue until it’s been built and actually in this case, would have hit our count. So, you are correct in that. And you are also correct in that -- in between six weeks -- between probably six weeks, sometimes it can take a little bit longer for us to get a client up. It somewhat depends on the motivation of a client and what kind of -- I mean, how sick the patient is from a data perspective, when we go in there what all we need to fix. So, you are right on the timing as well. I’m not so sure about the correlation between this quarter and last quarter as it relates to your question. But what I will say is that our revenue and our revenue makeup and what have you, the profile of that hasn’t changed from quarter to quarter.
John DiFucci: And then, -- so, I guess all of my questions are really around why the quarter is so strong. And I guess, this business is as usual. And it is a very strong quarter as Raimo mentioned too.
Chad Richison: We’ve been talking about differentiation with the product. I believe that’s resonating again as people look to adopt usage of HCM technology, similarly to how they do everywhere else in their lives. I mean, I think that we are in the beginning stage of people starting to use HCM technology to really work for the business and be able to drive their own ROI. And we’ve been talking about this, we’ve shifted our entire Company along that strategy and we’re all very focused on it. And so, I do believe that’s producing strong results for us at this time.
Operator: And the next question comes from Mark Murphy from JP Morgan. Please go ahead.
Unidentified Analyst: This is [indiscernible] sitting in for Mark. Congrats from me as well. And thanks for taking my question. Hey, Chad, on the same topic that John was trying to figure out, I guess, I know you don’t update on the retention, dollar retention but did a better dollar retention contribute to the upside in the quarter, at all? 
Chad Richison: We have -- we always work on retention. I’ve been talking about our retention, the efforts now since we IPOed in 2014. In our industry typically, most of your losses or a lot of your losses are going to be coming at the beginning of the year, as certain clients look to start then. You can also have losses throughout the year. And so, you know with us, we’re typically -- we start-off with the retention number, we work on it extremely hard to increase it throughout the year. So far, all of our efforts on retention have produced the same result and 91% retention rate I believe for the last seven or eight years. Some of that’s not controlled, but a lot of it is. And so we’ve been very focused on that. It would be early right now to talk about retention impacts as far as where we are going to finish the year, but we continue to focus on that as we have in the past. And we will see how that plays out as we report our fourth quarter and full-year results at the end of the year.
Unidentified Analyst: Understood. And so, if retention is more or less constant, I guess, I would assume that productivity for mature offices is picking-up towards your, the goal of 6.5 million, which was the top performing sales teams, I guess. I mean, is that fair to assume -- how should we think about the trajectory of productivity for mature offices for the second half?
Chad Richison: Yes. We are continuing to get better on sales productivity that comes from both working very hard and actually our sales managers working very hard to improve their skills set for both themselves as well as reps that they have working for them, as well as product differentiation. I mean, we continue to work aggressively on our product in order to differentiate. We think that gives reps a better opportunity when they go into meet with prospective clients, it gives them an opportunity to go in and talk with prospects that maybe we didn’t get the first time around, and so as well as you continue to improve and differentiate the product. And so, I would probably point to both of those that work hand in hand, being able to have a stronger product and then, again, working on sales skills to be able to go out and produce results that increase our overall capacity on the sales department. And so, those are the areas I would point to as generating some of the gains that we had this quarter
Operator: And the next question comes from David Hynes from Canaccord. Please go ahead.
David Hynes: Chad, if you look back over the last, I don’t know, year or two, is there any way you can quantify what kind of growth you’re seeing in that -- your per employee per month landing price? The reason I asked, you continues to expand the portfolio. I think you admitted that the focus really isn’t on cross-sell, upsell, the, focus is on landing large. So, I’d think if that metric would be a good measurement of the success you are seeing there. So, any way to help us quantify per employee per month landing price.
Chad Richison: I guess, what I’d say is we haven’t updated that number since IPO and we’ve chosen not to do that due to competitive reasons. I can’t say and answer to your question, over the past year there has not been a significant increase in the PPM from that period of time. We’ve been very focused on usage, again. It’s easier to sell products to clients than to get them to use it appropriately. So, we’ve been really focused on that in order to help clients actually deliver the ROI that we presented to them. And that’s been our focus. So, as we continue to get greater usage, does that allow us to sell other products that they didn’t have? Well, certainly it does. And can you really sell additional products to someone who isn’t using a large percentage of the products that they currently have? I mean, well, you can, but it just doesn’t help them meet the objective for the business. So, we want to be a partner in that. So, that’s been our focus. It’s been usage. And I think that’s making a difference in both how our current clients use the product, as well as us being able to leverage them as references as we go out into the field and work with new prospect opportunities.
David Hynes: And then, Craig, maybe one for you. Gross margins jumped out as pretty strong in the quarter, I think they were up almost 200 basis points year-over-year. I know it seems like you kicked maybe the range of guidance for the year a bit. Anything, onetime in nature that drove the gross margins frankly in Q2? And historically, we see gross margins pick up even more in Q3 and Q4. Why would that not be the case again this year?
Craig Boelte: Yes. On the gross margin, we’ve always been in the 82% to 84% range, and we did tick that up to 83% to 84%. The greatest impact on that gross margin is just the timing of when the hires come in. We bring people in and it takes them a while to ramp up and learn to be able to take on the clients and then they will take on a few and then ramp to full capacity. So, some of that’s in timing. I don’t know that I would read a lot into that moving towards the third and fourth quarter other than it kind of ranges between that 83% and 84%. And one thing I’d call up kind of as a housekeeping matter, last quarter, we called out our stock comp at being in that 5 million to 6 million range. This quarter, it was slightly lower than that. So, just for modeling purposes, I wanted to keep that in that range, so.
David Hynes: Keep it in the 5% to 6% range?
Craig Boelte: Yes, in the 5% to 6%. We had some forfeitures true-up second quarter that caused it a little lower.
Operator: And the next question comes from Mark Marcon from Baird. Please go ahead.
Mark Marcon: Chad, you’ve always emphasized usage. I was wondering, can you dimensionalize some of the progress that you’re making with regards to increased usage, like how should we think about it or how do you measure it, and how are you thinking about it in terms of how it should trend over the course of this year?
Chad Richison: Yes. So, I think there’s a huge opportunity for us in usage, I think from an industry as a whole, I would say usage amongst that employee base. And I’m talking about what could employees use that they or not, I would say usage amongst the employee base from an industry as a whole has been low. I would say that until we really started focusing on our usage strategy, ours was also low to anemic. However, we focus very much on it. We’ve continued to generate great usage out of it. But, we’re not -- where we want to be with usage and having clients really leverage the software out there so that employees can have a direct relationship with the database that makes it easier for everybody. And so, we’re still focused on that. So, we’re still at the early innings of even usage strategy. And with greater usage, you create more product from that because once someone is using a full set of your product, you’re able to identify other areas of our ROI that you can impact for that business. And I see usage in our product continuing to increase at the employee level as we move forward.
Mark Marcon: Does that change at all, like who you are having the most success against in terms of gaining new clients from?
Chad Richison: No, I wouldn’t say. Well, I can go ahead and tell you that for us it’s been the usual suspects as far as our business wins. We are -- I think some conversations are starting to change in both the C Suite and HR departments as they notice different types of technologies where -- that they can actually leverage for themselves. And a lot of this can be even task management. Some things in our industry, they are not like to do, they are have to do. You don’t really have a choice. I mean, you might not want to do it, but you have to. They are mandated. And so, when we can put greater or better technology in someone’s hand that allows for a greater accuracy, in those types of situations that is very beneficial to the client base. And so, I see, as we are able to move from even the have to, to the want tos, I think we will continue to see greater and greater increase in usage. But you’ve got to start with those have tos. I mean people have to enroll in benefits. They have to collect time, they have to request time off, they have to get their COBRA benefits. I mean, I can go on and on. These are the things -- they have to do expense reports. I mean, these are the things that individuals have to do as part of working for a business. And so, we continue to stay focused on that. And I do see opportunities for us to continue to increase usage from here. And quite frankly, I’d be very disappointed if we’re not continuing to do that as we’ve done in the past.
Mark Marcon: And then, any dimension with regards to the additional marketing spend, how we should think about it?
Chad Richison: We have a marketing strategy. The thing about marketing is you can waste a lot of money in marketing and advertising if you are not measuring it and you are not getting the return from it. So, we do have ambitious marketing objectives as we’ve had every year here at Paycom. We are going to be embarking on another national strategy. We have one similar to this last year that we embarked on. We’re doing that again, as we’ve talked about, in the second and third quarter in an effort to get some momentum as we head into 2019 as well as differentiate the product and the new message. So, we look forward to getting out there in the coming quarters with that message.
Operator: And the next question comes from Brent Bracelin from KeyBanc Capital Markets. Please go ahead.
Unidentified Analyst: Hi. This is Clark on for Brent. Chad, I think something that we’ve seen so far this year is that businesses are assuming kind of healthy and are interested in some modernization efforts. I was wondering if there is anything to call out in terms of customers that might be interested in the non-primary products, maybe the talent side and whether you’ve seen an increased willingness or interest to kind of do the modernization all at once, if they had no talent system or a legacy system they might be looking to improve upon? Anything you could talk about that momentum.
Chad Richison: Yes. I can tell you that I think it’s been a trend that HCM has become more and more prevalent in what was primarily a payroll and labor management industry, payroll and time and labor management. You started to see the proliferation of HCM products start to move into the midmarket. These products were primarily reserved for the enterprise level market prior too. And so, I’d say this is a trend that’s really been happening for the last five plus years, the HCM continuing to increase. And that would include the talent management side as people develop processes to be able to implement talent management type procedures. Meaning that we can sell you the talent management product but if you don’t have a strategy for managing talent or have not adopted a strategy that our product automates, you are not going to really have a lot of usage and it’s not going to be part of what impacts your business. So, we are seeing -- it’s an education -- it’s both an education on why should people do background checks. You would be surprised how many businesses out there these days don’t do a background checks, and if the ones that do, they might do it on 10% of their employee base. So, these best practices that were primarily reserved for larger companies, you are now starting to see work themselves through into the midmarket as a best practice, as it becomes attainable for them through the technology that’s available today. And we believe that we are at the lead of that.
Unidentified Analyst: And then, a question for Craig. Sales and marketing came in lower than we were estimating. Is there anything you could call out in terms of that line item? Was there any kind of the push out of the marketing campaign in terms of maybe expecting to starting this quarter and now for the second half or any color on that regard?
Craig Boelte: I mean, no, nothing that we pushed the third quarter. Chad did mention, we are going to have some additional initiatives starting in fourth quarter of this year.
Operator: And the next question comes from Brad Reback from Stifel. Please go ahead.
Brad Reback: Chad, given mobile product seems to be becoming an increasingly meaningful point of differentiation in the market, first and foremost, do you see it helping you win deals? And then number two, down the road, do you see additional monetization opportunities with that?
Chad Richison: Yes. I do believe it’s helping us. Again, the mobile products is the reflection of our overall software. It’s just an easier way for employees to access. We have the desktop version and then obviously we have the mobile. So, mobile devices have become prevalent in the world today. And so, we are able to leverage that. Are there opportunities that we’ve identified that can allow us to not just increase usage but increase revenue opportunities for us, which also increases additional ROI for our clients? There sure are. But, again, we’re very focused on delivering, not only that, but making sure that the clients are using the products that they have available to them today. Because we also believe as part of this process, clients can get greater returns on their investment in Paycom, if they will use the full system. And that’s really what we want people to do, that’s what we’ve been embarking on. And then, once people have done, that does generate additional opportunities. But I will say that right now we have some very significant mandated videos that’s in our LMS content right now. If I cannot get a specific client to watch videos which are somewhat mandated and very timely, I really can’t sell them anything else after that, as it relates to content. I’ve got to get people to use the content that’s there before you can create additional, that will be meaningful to them. Does that mean we’re not creating content? No, we’re continuing to create content. And answer to your question, I do believe that we will have a greater success in the future with all of our products as we increase usage at the employee level.
Operator: And the next question comes from Ryan MacDonald from Needham and Company. Please go ahead.
Ryan MacDonald: So, I guess, following up on a little bit of the answer from the last question. You are now a few quarters into this -- the learning content offering. Can you just talk about what you’ve seen thus far and sort of usage and how that’s been trending for the content you’ve created, and perhaps to the extent that you can talk about the roadmap for that -- for creating additional content into the back half of this year and early 2019?
Chad Richison : Yes. We’re focused on content creation. I just brought that up as one product as an example of -- there are certain mandates that you definitely want employees to experience through their content as well as you want to test them on, certify them, make sure they’ve completed the course as my comment earlier was. We’re still at the early ages of getting people to do the mandated things, much less the additional items that people will want to train on that makes sense for them in their specific industries. And so, we do continue to develop content. I do believe that LMS, which is I would say one of the -- a newer areas definitely for our business and I believe -- of HCM definitely for our business and for the midmarket at large, I do think that being an area that will be able to be leveraged by not just us but definitely the client base, as well as even opportunities for other competitors out there, as the market shifts to a more knowledgeable workforce and the way people -- not just is at the way that the new generation comes up, not just is it different the way they use technology, they learn differently. You’re not going to get a whole lot out of a two-hour course with the millennial. And so, there’s other things that you learn along the way of how people learn and what’s available to them. So, we’ve been focused on all that as we go to market.
Ryan MacDonald: And then, just a quick follow-up. I guess more broadly, as you look at the group of offices that are reaching full maturity this year and perhaps comparing them or looking back to the last year or the group two years ago. Anything anecdotally that you’re seeing in terms of what some of the new offices might be doing better or maybe accelerating more quickly, again, versus looking in the past and sort of how those offices have ramped up or how they’ve acted or performed at full maturity?
Chad Richison: Yes. I mean, consistent with what I’ve described in the past, your best offices have your best managers. Your best new offices have your best new office managers. I’d say, it’s a territory agnostic. There is so much opportunity for us in the territories that we are in. You are going to see that your best offices are managed by our best people.
Operator: And the next question comes from Corey Greendale from First Analysis. Please go ahead.
Corey Greendale: Just two questions on the ad campaign. Chad, I hear you loud and clear that there needs to be measurable outcomes. and I’ve heard varying philosophies from folks in the space about the value of mass market advertising. Can you just give us a sense as to what you’re hoping to accomplish? Is it just brand recognition? Is it driving leads or what other metrics?
Chad Richison: Yes. Again, I think that what we are talking about -- and I don’t want to give away too much on what we are doing on our marketing. I mean, it’s a competitive situation. We are in a very competitive industry. Competition is good for the consumer. So, I don’t want to give too much away other than to say that we are focused on not only branding Paycom but branding the message of -- there is a new digital transformation here for our industry. And it’s time that everybody -- us included and clients and prospects and competitors, embrace that. There is a new way that people are going to be using these products in the future, we’re seeing it another areas. And so, part of our advertising and marketing efforts support not only to Paycom brand but the change in what we believe will be the new future for how people use these types of technologies.
Corey Greendale: And then, one for Craig. Could you give us a sense -- I’m just wondering how much the change in interest on client balances might have affected the results in the quarter, just some sense of did that grow faster or slower than recurring revenue growth or is some -- however you can provide info on that?
Chad Richison: Yes. I mean, we gave the total number of the average daily balance outstanding for the quarter. There was a one rate increase during the quarter was towards the end of the quarter, June 15th. So, that was really the only a rate increase for the quarter. Other than that, we remain the way always have been. We are fairly conservative with our investment on those funds there, client funds. And so, there is really nothing to change in our strategy on investments.
Corey Greendale: So, my interpretation [ph] that means it didn’t -- wasn’t a meaningful driver of sequential acceleration in recurring revenue growth, is that accurate?
Chad Richison: That would be accurate.
Operator: And then, the next question comes from Ross MacMillan from RBC Capital Market. Please go ahead.
Ross MacMillan: Actually I just wanted to follow up on that point, Craig. I look at like LIBOR rates, and they were up. I think you talked historically like a 25 basis points is just a little shy of annualized couple of million. So, I just wanted to make sure, is that still the right ballpark? And then what are the primary instruments in which you hold client funds?
Craig Boelte: We are not going to go through and I think disclose or we are not going to disclose the instruments that we use other than our strategy hasn’t changed. I will tell you, your numbers are little bit off now that our balance has increased that less than $2 million actually now or for 25 basis, we will be getting closer to $2.4 million, $2.5 million in annualized revenue from that Where it was previously lower was due to the balance being lower. But, our approach to how we invest those funds has been the same and very consistent. We haven’t hidden the fact that an increase in interest rates are nothing but accretive to both our revenue, as well as our adjusted EBITDA. It didn’t take us more effort to get 30 basis points than what it does to get 25 basis points. And so, we do continue to receive and have a positive impact and lift as interest rates increase. If you’re trying to look at okay, exactly how much does that play into a quarter, I think you have to look at when is that layered in some banks? You don’t necessarily get it right away. So, you can even negotiate it ahead of time, potentially if they know what’s coming, And so, -- but for us, our approach to these and how we work with client funds has been one of not being aggressive. And we’ve maintained that same position today as it relates to what we do with those client funds.
Ross MacMillan: That’s clear. Thanks for that Chad. Maybe just one follow-up Chad for you. I was just curious in terms of your net new wins, how you describe the size of those customers in terms of average employees. Are they staying pretty consistent with what you’ve seen in recent quarters or any marginal shift one way or the other?
Chad Richison: They’ve been consistent with past quarters, which would include continuing to sell some at the upper end of our range as we’ve used to disclose in the past.
Operator: And the next question comes from Siti Panigrahi from Wells Fargo. Please go ahead.
Unidentified Analyst: Yes. This is Will on behalf of Siti. I just wanted -- from a product standpoint, you talked about your focus on employee usage, and then recently updated your UI and mobile apps. Could you share any feedback so far from customers on that? And then, just wondering if you expect this to drive more cross-selling of your products overall?
Chad Richison: Yes. The feedback from the client base has been good, very good. We do monitor employee feedback as employees of our client base goes in and reviews and gives us feedback. So, we are definitely continuous -- what we are continuously making changes to that software to make it easier to navigate and easier to use at the employee level. Again, we do see opportunities for us to continue to add not just to the app but it’s to the overall product. Again, the app is a device used to gain access to the overall solution. And so, as we go through and we add strategies and develop products for those strategies, it would be for the entire product. leverage through the employee app.
Operator: The next question comes from Shankar Subramanian from Bank of America Merrill Lynch. Please go ahead.
Shankar Subramanian: Thanks for taking the question. And congrats on a great quarter. I just want to touch upon the new office openings. So, can you update us on your thoughts on what should we expect for second half? And maybe even beyond that and in terms of where you have in terms of penetration of offices across the U.S. and how much more should we expect in the next two quarters and maybe beyond?
Chad Richison: So, as we haven’t done in the past, we haven’t guided to when we are opening up offices, other than to say we’re continuing to focus on our sales strategy, which does include opening up additional offices. But, we are also very focused on increasing sales capacity. We start with the problem, what problem are we looking to solve. And for us, we believe we have quite a bit of runway in front of us of collecting prospects that don’t currently use us and making them current clients. We have certain geographies that we do not exist in and we have other geographies that we can continue to expand in even further as some of our larger cities. So, as we move throughout the year when it makes sense for us, that would be something we would look to do, would be to open up other offices if it makes sense for us at that time. But for us too, we are very focused on continuing to increase the capacity of our sales force. And so, we are definitely focused on that as well.
Shankar Subramanian: This would be on the mobile side. Obviously, you are going to run more campaign in the second half and you are seeing better traction among your customer base within the same number of employees. But, do you see mobile kind of opening up your products to beyond the current customer segment to maybe more employees?
Chad Richison: We are a business to business product, we’re very much focused on delivering ROI for businesses that exist here in the U.S. And so, that’s what we are focused on. To the extent we can do that in a way that benefits employees in other areas, we would definitely be looking to do that. But we are focused in making an impact on our clients’ bottom line. And I believe that’s what clients choose Paycom. And again, our effort is trying to increase that ROI that any client can achieve with Paycom. And if we identified something that allows a client to do that through employee usage, that would be something we would look to develop.
Shankar Subramanian: And then, lastly, on the benefit side, it seems like they is an increasing trend for at least certain customers to go and use the third party benefit administration tool like planned source or business model and so on. How do you see from your customer base, what’s your feedback been in terms of how to use the benefit solution? Do they feel comfortable with what they have seen? And maybe your thoughts on maybe partnering with third party providers on that front.
Chad Richison: Yes. So, we have our own benefits administration module within the same software that we have. It’s ours, we developed it, it’s part of the same data base. We’ve had clients on it for some time now. I don’t know the number of years but I mean it’s not a brand new product for us. We are probably four to five years in on benefits administration. As a reminder, we do not provide healthcare coverage or vision or dental to our clients. We help aid them in the choice that they make for those vendors and as part of that. You do have to send the files feeds to those third parties which would be your health insurance company, your dental insurance vision live and what have you. And so, we continue to do today and then after the fact note, where we are taking the clients our files and getting those to the appropriate vendor.
Operator: And our next question comes from Brian Schwartz from Oppenheimer. Please go ahead.
Brian Schwartz: The one question I had was just around the context in terms of the revenue guide for Q3, the sequential growth rate. It’s not much there. So, just wanted to double check with you to see if any business was pulled forward here into 2Q from 3Q. And then, the second question on the second half business, maybe just any overall comments that you can share with us Chad on how the pipeline momentum is trending and how the lead funnel is filling up for you as you look out into the second half of the year?
Craig Boelte: On the first question, to the extent it pulled forward into Q2, it would still exist in Q3 from a starts perspective. I think, that may have been the question on that…
Chad Richison: Yes. I mean, our outlook on guidance is similar to how we’ve been in the past as well.
Craig Boelte: We guide to what we can see, our approach hasn’t changed. And then your second part of that…
Chad Richison: It was on the pipeline. I like to see starts, I like to see pipelines turn into starts. If I see too large of a pipeline, and I’m looking for the starts. And so, we continue to have strong momentum in our sales department. I’ve been excited not just about sales but our conversion departments, our R&D department, our Paycom Specialist department. Everybody has been galvanized this year and actually started last year, really galvanized around the same message and what we’re looking to accomplish. And I really think that’s created an opportunity for us to really have a great year this year as we’re seeing as we head to second quarter.
Brian Schwartz: Just to be clear on that first question. So, I know I mentioned [Indiscernible], but just thinking about deals and how the deals were showing up from one quarter to the next. So, it sounds from your commentary, there was anything unusual in terms of where the deals were showing up this quarter?
Chad Richison: I will say this. It matters when a deal starts, it does matter. I mean, if you start a deal in the beginning of a quarter, you get 100% of the revenue dollars for it. If you started the last month of the quarter, the most you are going to get is a third of those revenue dollars for that same deal. But it does matter but it’s hard to forecast because we work with the client. We often times work with the client and it’s their timeline, different things come up. And so, it’s hard and really somewhat dangerous to try to get too myopic on it, something going to start May 1st versus June 12th. But that can impact your revenue for any one quarter. And so, we’ve always -- in our guidance, we’ve always guided to what we can see and what the expectations are. And then as we move through that quarter as things change, those are reflected in the final numbers. And so, our approach to third quarter is no different than it has been in the past.
Operator: And this concludes our question-and-answer session. I would now like to turn the conference back over to Chad Richardson for any closing remarks.
Chad Richison: Well, I want to thank everyone for joining us on the call today. And next month we’ll be on the road meeting with investors at the following conferences. We’ll be at the Oppenheimer Technology Internet and Communications Conference in Boston on August 7th. We will be at Canaccord Growth Conference in Boston on August 8th. We will be at the KeyBanc Capital Markets Global Technology Leadership Forum in Vail, Colorado on August 14th. I appreciate everyone’s interest in Paycom. We look forward to meeting with many of you soon. Operator, you may disconnect.